Operator: Good afternoon, and welcome to the Flex Fourth Quarter Fiscal Year 2017 Earnings Conference Call. Today's call is being recorded and all lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. At this time, for opening remarks and instructions, I'd like to turn the call over to Mr. Kevin Kessel, Flex's Vice President of Investor Relations. Sir, you may begin.
Kevin Kessel - Flex Ltd.: Thank you and welcome to Flex's conference call to discuss the results of our fourth quarter of fiscal 2017 ended March 31, 2017. We have published slides for today's discussion that can be found on the Investor Relations section of our website at flex.com. Joining me today is our Chief Executive Officer, Mike McNamara; and our Chief Financial Officer, Chris Collier. Today's call is being webcast and recorded and contains forward-looking statements, which are based on current expectations and assumptions that are subject to risks and uncertainties, and actual results could materially differ. Such information is subject to change and we undertake no obligation to update these forward-looking statements. For a discussion of the risks and uncertainties, see our most recent filings with the Securities and Exchange Commission, including our current annual and quarterly reports. If this call references non-GAAP financial measures for the current period, they can be found in our appendix slide. Otherwise, these measures are located on the Investor Relations section of our website along with the required reconciliation to the most comparable GAAP financial measures. In addition, all commonly referred to acronyms for each of our four business groups, along with their definitions, are mentioned at the bottom of our disclosure slide. With that, I'll pass the call to our Chief Financial Officer, Chris Collier. Chris?
Christopher E. Collier - Flex Ltd.: Good afternoon and thank you for joining us today as we present our fourth quarter and fiscal 2017 year-end results. Let us begin by turning to slide 2 for our fourth quarter income statement highlights. Our performance this quarter was consistent with our expectations and aligned to the guidance ranges on all of our key financial metrics we provided in January, reflecting our continued operational execution, portfolio evolution and commitment to our Sketch-to-Scale strategy. Our revenue totaled $5.9 billion, which was at the high end of our guidance range as all four of our business groups met or exceeded our expectations. On a year-over-year basis, our quarterly revenue increased $90 million or 2%. Mike will provide additional insight into our business group revenue and the demand environment shortly. Our fourth quarter adjusted operating income was $205 million, which was above the midpoint the of our guidance range of $185 million to $215 million and expanded 2% year-over-year. Adjusted net income was $156 million. Our adjusted earnings per diluted share for the fourth quarter was $0.29, which was at the midpoint of our guidance range of $0.27 to $0.31, while our GAAP EPS was $0.16. Now turn to slide 3 for our trended quarterly financial highlights. Our fourth quarter adjusted gross profit totaled $419 million and our adjusted gross margin was 7.1%. This marks our second-highest level ever of adjusted gross profit dollars generated in the fourth quarter, despite having lower quarterly revenue today. Our improving adjusted gross profit and gross margin are being supported by our strategic evolution and a structural mix shift to higher margin end markets, while we are also providing greater levels of innovation and design and engineering services. Our strengthening gross margin and disciplined discretionary spending enables Flex to continue to make investments to support our long-term vision and growth. Our SG&A expense amounted to $214 million, which was modestly up both sequentially and year-over-year. The expansion of SG&A is reflective of incremental design and engineering investments as we expand our innovation and design centers, and we continue to absorb incremental costs associated with our acquisitions, which carry higher SG&A levels than some of our legacy businesses. We are consciously elevating the levels of our spend to support our new business models and investing across all aspects of our platform. And we will anticipate more of our operating expense to be directed at funding our Sketch-to-Scale portfolio shift. Our quarterly adjusted operating income came in at $205 million and our adjusted operating margin was 3.5%. While a modest margin increase year-over-year, it represented our 14th consecutive quarter of year-over-year improvement. More importantly, our annual adjusted operating margin is up 20 basis point from 3.2% in fiscal 2016 to 3.4% in fiscal 2017. Return on invested capital, or ROIC, remained stable and strong at 20% and continues to be well above our cost of capital. Turning to slide 4, we display our operating performance by business group. Our CEC business generated $53 million in adjusted operating profit and posted a 2.7% adjusted operating margin, which was within our targeted range of 2.5% to 3.5%. The sequential decline of profitability is driven by lower revenue levels, resulting in lower overhead absorption, increased pricing pressures, and increased investments to expand our converged infrastructure capabilities. Our CTG business produced $41 million in adjusted operating profit, resulting in an adjusted operating margin of 2.7%, which is within our targeted range of 2% to 4% for this business. When looking at the sequential decline in margin, it was driven almost entirely by the 17% seasonal revenue decline and the associated absorption impacts. In addition, we had elevated levels of ramp costs from new programs, which were partially offset by the benefit from better-than-expected execution on certain products, which were going end of life. Our IEI business generated $53 million in adjusted operating profit and achieved a 4.1% adjusted operating margin. This was consistent with our expectations as our semi-cap equipment business displayed solid growth, and our solar tracker business recaptured demand from the utility scale project push-outs and delays experienced in the prior quarters. Lastly, our HRS business continue to display strong operational execution, as it delivered $84 million in adjusted operating profit, equating to an 8% adjusted operating margin. This consistent, solid operating performance demonstrates strong operational management as we continue to successfully ramp multiple new customers and programs within both our auto and medical markets. We are pleased with HRS's ability to operate effectively within its targeted long-term margin range of 6% to 9% while continuing to make investments to increase our engineering and technical competencies and advanced innovation solutions. Please turn to slide 5 for our other income statement comments. Net interest and other expense for the quarter was $34 million, which was above our guidance of $25 million to $30 million, primarily reflecting the impact from increasing interest rates and lower foreign currency gains. As we move forward we are raising our quarterly guidance for this line item to the range of $30 million to $35 million, as it better reflects the impact of higher interest rates that affect our floating rate debt. Our adjusted income tax expense for the fourth quarter was approximately $15 million, reflecting an adjusted income tax rate of approximately 9%. As I've discussed in the past, we foresee a gradual increase in our effective tax rate over the next several years due to our earnings mix shifting with a greater concentration in higher tax jurisdictions as well as increased uncertainties given the global tax environment. Therefore, we are increasing and broadening our long-term tax rate range to 10% to 15%, and we anticipate executing to the lower end of that range in fiscal 2018. There's several different elements that have an impact when reconciling between our GAAP and our adjusted EPS. There's a $0.03 impact from the $15 million of stock-based compensation expense and another $0.03 impact from the $17 million of net intangible amortization expense. And lastly, we recognized $37 million or $0.07 from employee termination and other costs, as we completed the targeted restructuring we previously had announced. These targeted efforts enable us to move away from certain legacy activities, and we have reinvested a majority of the cost savings from these actions into growth areas of our portfolio and our platform. Now turning to slide 6, let us review our strong cash flow generation. We continue to generate strong operating cash flows, which enables us to operate, invest, and grow our business. We generated $137 million of cash flow from operations in Q4, which marked the 11th straight quarter of greater than $100 million of cash flow from operations. This also pushed our operating cash flow generation to almost $1.2 billion for the year. Net working capital remained relatively flat at $1.6 billion and amounted to 6.9% of our net sales, illustrating our disciplined working capital management. We continue to drive multiple actions to improve our inventory management and we are pleased that we have successfully driven our inventory down to $3.4 billion, which is the lowest level in almost four years. Our cash conversion cycle totaled 24 days, which improved by three days over year ago. We believe that our current and prospective business mix will continue to result in our net working capital as a percentage of sales to remain within our targeted range of 6% to 8%. Our capital investment remains disciplined, while we continue to drive automation and innovation investments and fulfill our planned capability and capacity expansion. This quarter our net capital expenditures totaled $104 million, which was slightly below our depreciation level of $107 million. For the year, we invested $490 million to bring our total capital expenditure investment to over $1.2 billion over the past three years as we have invested in our platform and evolving businesses. Our resulting free cash flow was $33 million in the quarter. For fiscal 2017, we generated $660 million, which was above the midpoint of our targeted range of $600 million to $700 million. This performance capped a very successful five-year run that saw us generate over $3.2 billion. Impressively, our 10-year free cash flow generation was $6.3 billion, which is nearly three-quarters of our current market cap. Our strong, sustainable cash flow generation enables us to consistently return value to shareholders through repurchasing of our shares. This quarter we repurchased 5.7 million shares, or 1% of our float, for approximately $90 million, and we returned over 50% of our fiscal free cash flow to shareholders as committed. Please turn to slide 7 to review our balanced capital structure. We continue to operate with a strong financial condition, maintaining over $3.3 billion in liquidity, no near-term debt maturities and over $1.8 billion in cash. Our credit metrics remain healthy with our debt to adjusted EBITDA ratio at 2.4 times. So, as we close out our fiscal 2017, we are very pleased with our ability to deliver on our financial commitments, sustain a strong cash flow generation, operate a flexible and balanced capital structure and continue to evolve our portfolio. We're taking distinct actions to further strengthen our Sketch-to-Scale supply chain solutions and to increase the attractiveness of our long-term business model. We'll continue to operate with discipline and consistently deliver on our commitments. Now, I'll turn the call over to Mike.
Michael M. McNamara - Flex Ltd.: Thanks, Chris. Please turn to slide 8 for fiscal year 2017 business highlights. As we reflect on the year's performance, we are very pleased to deliver to our shareholders consistent, multiyear growth in earnings per share, operating margin expansion, strong free cash flow and consistent share repurchases while we continued to invest in our platform and evolve our portfolio to longer product life cycles and higher margin businesses. For fiscal year 2017, our operating profit dollars totaled over $815 million, $23.5 million above fiscal 2016. Our adjusted operating margin for the year was 3.4%, which was a 16-year high. We are thrilled to have delivered 14 straight quarters of year-over-year operating margin expansion. Our evolving business mix and improved operational execution has enabled us to achieve our 21st consecutive quarter of meeting or exceeding consensus EPS. We have built a business model that generates outstanding free cash flow consistently year after year. We have generated positive operating cash flow in 23 of our past 24 quarters and positive free cash flow in 11 straight quarters. For the year, cash flow from operations totaled $1.15 billion and free cash flow was $660 million. Our strong cash flow generation is a hallmark for Flex and provides us the ability to make the investments necessary to successfully expand our platform beyond our traditional businesses. We will realize continued margin expansion and accelerated growth as a result of a substantial amount of new TAM from these new industries. A great example of entirely new industries that have better economics and long-term profit potentials is seen with our Nike partnership. Let me start by stating that this strategic partnership continues to work very well with both companies fully committed to success, both this year and over the next decade. We are accelerating our investments in Nike on the back of early automation successes, a strong customer collaboration and broad-based opportunities. While we will have some acceleration in our investments in the next couple of quarters, our previous outlined expectation to reach operational productivity or profitability as we exit fiscal 2018 remains intact. In addition, we announced a new joint venture with RIB Software in Germany, called YTWO Formative. The joint venture is focused on transforming the building and housing industry. It does this by digitizing the design through supply chain process, leveraging the combination of RIB's 5D BIM software and Flex's platform of operational scale and world-class supply chain systems. Together, we can build a smarter, more connected system, using modern software architecture and real-time information. We believe that our offering can reduce costs by up to 50%, shorten cycle times, improve efficiencies and help complete construction projects on schedule. The initial traction we are seeing from the targeted customer base has been very strong. We booked our first customer this past quarter, who is a major European developer, and are deep in conversations with several other sizable builders in each of our three main target geographies of Europe, the U.S. and Asia. As I have discussed, we're actively investing in our future. It is our objective to achieve a balanced blend of investments in our platform to position our company for the future, while returning value to shareholders. We continue to fulfill our commitment to return value back to shareholders and bought back approximately $90 million worth of stock or nearly 6 million shares. For the year, we repurchased nearly 25 million shares or almost 5% of our float for $350 million. This is over 50% of our free cash flow. And as Chris stated, we remain committed to continue to return over 50% of free cash flow to investors on an annual basis. Please turn to slide 9 as we review revenue by business group in detail. Before I go into the details of each business group, I wanted to mention that we had no 10% or greater customers for the fifth consecutive quarter. Our top-10 customers accounted for 43% of sales for fiscal 2017, which is down from 46% from fiscal 2016. Our diversification is truly a unique quality, which differentiates Flex from competitors. Additionally, we operate at scale in so many different industries that we have more insights into more industries, more geographies, and more technologies than virtually any other company today. I can't emphasize enough how valuable this is, as most products in the future will be systems and will be a combination of multiple technologies. Leveraging these technologies across industries will be the competitive differentiation of the future and incredibly difficult to duplicate. Now turning to our business groups. CEC was in line with our expectation for a sequential revenue decline of 5% to 10%, as it came down 6% to $1.98 billion. For fiscal 2017 CEC declined 5% as anticipated. The decline was mostly due to structural weakness in legacy server and storage, down over 30% year-over-year, modest weakness in networking and telecom, offset only slightly by our continued success in our converged infrastructure and cloud offering, or CI3, which experienced double-digit growth. For the June quarter, we expect CEC revenue to be down 5% to 15% on a year-over-year basis and we once again expect to see growth in CI3 being offset by weakness in the rest of the CEC business. CTG saw less of a seasonal revenue decline than we anticipated, declining 17% sequentially versus our expectations of a 20% to 30% drop. For fiscal 2017, CTG was down 9%, or over $600 million, due entirely to the exit of the China Motorola Lenovo business, which accounted for roughly $900 million reduction. Excluding this impact, CTG grew year-over-year. For the June quarter, we are guiding CTG revenue to increase 5% to 15% year-over-year driven by Bose and new programs, offset by the end of life of certain legacy programs and game consoles and wrist wearables. IEI rebounded strongly this quarter as forecasted. Revenue rose 14% sequentially, at the high end of our guidance range for a 10% to 15% increase, and reflecting an all-time high quarterly revenue. Strength in capital equipment and solar trackers led the way, along with additional support of industrial home and lifestyle products. For fiscal 2017, IEI grew nearly $300 million or 6% year-over-year with growth in almost all major segments. And while below our 10% long-term target, this is actually very impressive when you consider the greater than $300 million year-over-year impact IEI needed to absorb from its largest customer, SunEdison, going bankrupt. IEI bookings have been exceptional the past couple of quarters and we expect that strength will support our future growth targets. The bookings were achieved across a broad range of industries including appliances, energy, lifestyles and capital equipment. For the June quarter we are forecasting IEI sales to be flat to up 5% year-over-year, as new programs in energy and appliances partially offset by declines in capital and office equipment. HRS was in line with guidance, growing 2% sequentially versus expectations of flat to up 5%. The growth was entirely due to automotive, as medical declined sequentially. HRS's streak of achieving year-over-year quarterly growth extended to 29 straight quarters. For fiscal 2017, HRS grew 6% or $250 million, mostly driven by automotive, which eclipsed 10% growth. In our June quarter, we expect HRS to be up 5% to 10% year-over-year, which is a function of automotive growth led by our AGM acquisition, which we closed early in Q1, coupled with gains in automotive lighting, being offset by declines from a few medical customers. Let's turn to our June quarter guidance on slide 10. Our expectation is for revenue to be in the range of $5.7 billion to $6.1 billion. Our guidance for adjusted operating income is in the range of $170 million to $200 million and reflective of our accelerated investment levels we are anticipating for several of our new businesses as we invest in their future growth as I discussed earlier. This equates to an adjusted EPS guidance range of $0.24 to $0.28 per share based on weighted average shares outstanding of 538 million. The adjusted EPS guidance is expected to be approximately $0.08 higher than the quarterly GAAP earnings per diluted share due to net intangible amortization and stock-based compensation. As I conclude, I want to thank my team at Flex for helping to drive a very successful fiscal 2017 full of new records and milestones. With that, I'd like to open up the call for Q&A.
Operator: Your first question is from Steve Milunovich from UBS.
Steven M. Milunovich - UBS Securities LLC: Thank you very much. Good afternoon. So, it looks like earnings have kind of flattened out here, and you talked about interest expense going up, the tax rate going up, at least in the short term, investments going up. How does this play into the 12% EPS growth that you're looking for over a number of years? Is that still the goal? And is that going to tend to be a little more backend loaded now?
Christopher E. Collier - Flex Ltd.: Hi, Steve. This is Chris. And we have a great opportunity in 10 days to even unpack this further with you at our Investor Day. But now – but you'll see, and I don't want to jump what we're going to talk about in another 10 days, but our long-term model remains intact. Some of those points that you just highlighted, we'd highlighted were implicit in that range when we talked about it last year in the 2020 Vision. What you also heard today was the company making conscious decisions to make investments and accelerate investments across some of our new business models and initiatives that are taking shape earlier in this year. So, we're going to spend some time with you in another 10 days, you and our investors, to take you through that long-term vision that remains intact and also gives us the confidence to start putting forth some of these investments into the current periods here.
Steven M. Milunovich - UBS Securities LLC: Can you be more explicit on the investments that you're making this coming year? What's the incremental investment? And where is it showing up? Is it gross margin? SG&A? What's your CapEx plan and so forth?
Christopher E. Collier - Flex Ltd.: Certainly. The investments that I was alluding to there were more centered around the P&L. Okay? And if you look at how we've guided the first quarter here, you're seeing those investments show up in terms of both in gross profit as well as in SG&A. So, I talked about the incremental levels of investment around our research and development, design and engineering, expanding the innovation centers. That's going to be reflective in an SG&A as well as, as you see us bringing on some new acquisitions, I had also highlighted those are going to have incremental SG&A contributions. So at the front end of this year, when you have those investments coming in and you do not have any top-line growth, you're going to see more of a margin type of an impact. Mike also alluded to and talked through the investment levels that we're driving in terms of Nike. What you're seeing there is more operational that are going to be more reflective in our gross margin and gross profit implications. So those two alone – those activities right there equate to what you see when you put a guide out that we have that centered around $0.26 at the midpoint. So if you look, we're down sequentially roughly $20 million and all of that will be identified through these incremental investments and the shifts that we're seeing here.
Steven M. Milunovich - UBS Securities LLC: Great. Thank you.
Operator: The next question is from Amit Daryanani from RBC Capital Markets.
Amit Daryanani - RBC Capital Markets LLC: Good afternoon, guys. I guess a couple questions from me. First of all, Nike. It sounds like you're accelerating the investments right now and I think Nike's CEO talked on their call about seeing tens of millions of dollars of gross margin benefit from partners like Flex, and that number should go up. So I'm curious, is the revenue trajectory and your expectations on revenues starting to inflect? Is that happening a little bit earlier with Nike? Could you just maybe update us on that dynamic?
Michael M. McNamara - Flex Ltd.: Yeah, let me just talk a little bit about Nike more broadly. I think what some of the comments you're getting out of Nike – and we obviously see the same thing because we work hand in hand with them all the way from a design center, all the way to the factory floor, is that we're seeing the potential and the possibilities in front of us that are pretty significant. And we believe this whole concept of reinventing how shoes are manufactured is really alive and well. We're starting to get early successes around some of the design engagements that we're having about reinventing how design actually occurs, some of the new technologies of the shoes, and even into the automation projects that we're seeing. So what's happening is it's our objective and their objective, of course, is to try to accelerate these coming and take advantage of these benefits. So, the short-term impact of that is going to be higher operating expenses. If I think about what we're trying to do more specifically on the factory floor, we have all different models – a number of different models that we have to introduce into the floor. We have new technologies. We have automation. We have to re-optimize the supply chain for the new locations. We're taking and making improvements all the way back to the – or changes back to the design process, all the way back into Nike. And at the same time, hiring 12,000 people is the goal over a 15-month period. So, you can imagine doing all these kind of things at once and kind of reinventing how shoe manufacturing occurs at the same time. So, it's kind of a long answer, but the short of it is, all this is creating some pressure on the gross margin level. We're creating pressure on the gross margin level because we actually see the possibilities. And the amount of TAM that's available to Flex and the amount of opportunity for us to really help Nike is going to be pretty extraordinary, because $1 billion is just a small percentage of what they actually produce. And the one last thing I would finish with is we continue to be hopeful that despite the incremental operating investments that we'll do over the next couple of quarters, that by the time we get into Q4, we'll cross over into profits. And then it is – hopefully the learning is behind us. And ideally, as we move into FY 2019 and 2020 and 2021, it's really just about revenue expansion or supply expansion in number of shoes we built, and the learning curve is predominantly over. So hopefully, I answered your question. I know it was probably more than you were looking for, but that kind of outlines what we're trying to accomplish with Nike and what we think the possibilities are.
Amit Daryanani - RBC Capital Markets LLC: No, more is always better, so appreciate that. Just if I think about the expense and the investments you guys are doing though right now, and of course, it seems like maybe it's a 30 basis point, 40 basis point margin impact in the June quarter guide. How long do you think that sustains? And does that sustain essentially all the way through March of 2017? Or do we start to see the revenue and leverage come in a bit quicker broadly in the model?
Christopher E. Collier - Flex Ltd.: I think there's two parts to that. I think there's both the Nike and then the other investments. What we see is we see on the Nike side that sustaining for a couple of quarters, and we go back to the statement Mike just made in his prepared as well as how he closed, we have ourselves crossing over into profits in the last quarter of this next fiscal year, fiscal 2018. So that's the change on that piece. We anticipate seeing a much stronger second half for Flex this coming year. And with that incremental level of revenues, you're going see the leverage on the other investments that we're making inside of the R&D and other efforts that are putting some pressure on this near term. So the second half of the year for us is going to be much stronger. It's going to show the leverage. It's going to help us drive the profitability back up. And you also have a Nike shifting back into crossing into profits at the end of the next year.
Michael M. McNamara - Flex Ltd.: And I'll just give you a little more color in terms of some of the investments that we're really excited about, but I think about YTWO, I think the adoption that we're having and the conversation we're having in the marketplace is way above expectations. We already talked about Nike, so I don't need to talk about the excitement we have there about trying to accelerate what we can do there. We mentioned the IEI wins that are going to take a little bit of investment as we go into there, but they had record – they've had a number of different record bookings over the last few quarters, which is going to drive a lot of – which is going to secure their long-term revenue targets. We talked about AGM that we just brought on. We have to convert computer systems and absorb that. That'll take about two quarters. And quite frankly, on the Bose program, we probably have another quarter, quarter and a half of investment to get that whole business into our system. So while all these things are hitting kind of a lot more aggressively in the first and second quarter, a lot of them are on the back of just the success that we're having in terms of what we're seeing in the marketplace. So we're pretty excited to have them. We made a conscious decision to allow those investments to run and will actually play into second half with a much stronger revenue and with a revenue that's going to accelerate into FY 2019. So, that's kind of the play that we're running right now and we're pretty pleased with it.
Amit Daryanani - RBC Capital Markets LLC: Perfect. Thanks a lot and see you guys at the Analyst Day.
Michael M. McNamara - Flex Ltd.: Thank you.
Christopher E. Collier - Flex Ltd.: Thank you.
Operator: The next question is from Adam Tindle from Raymond James.
Adam Tindle - Raymond James & Associates, Inc.: Okay. Thanks and good afternoon. Chris, you talked about a $20 million sequential increase related to the investments. Can you just give us a sense of the total investment, how much is Nike versus other, and what the leverage is dependent upon? Meaning, are there guaranteed volumes associated with this?
Christopher E. Collier - Flex Ltd.: Certainly, Adam. And the $20 million was just a reference to equate to the Q4 operating profit and then a midpoint of guidance. So I wasn't being explicit as to the amount of those investments. But specifically, we're not quantifying with our partner, Nike, around what that level of investment is right now. We're just talking about the accelerated level that's going to be reflected in our performance. The relationship with Nike, as Mike says, continue to be strong. It's probably deeper than it was at any other stage right now. We're completely aligned with the production curve and we're continuing to manage that relationship as we go forward. I don't know what more I'm going to add with regard to that except that the investments have been a conscious level decision by the company that's necessary for us to move to accelerate the business model that we're getting after.
Adam Tindle - Raymond James & Associates, Inc.: Okay. And operating profit dollars, looks like they're going to decline year-over-year based on your guidance. How temporary is this? And I know your target is a CAGR, but do you think you can grow operating profit dollars over 10% in fiscal 2018?
Christopher E. Collier - Flex Ltd.: We're going to have an ability to go more deeper on our long-term model in another 10 days. Our progress – what you will hear from us is that we're not moving off of our 2020 Vision, and we're going to unpack for you all the different areas that provide us that confidence as to how we move that 2020 Vision. That journey to 2020 is not going to be linear. You're seeing that evidence right now. Each quarter it will change with regards to the level of investments required from the company to post up, and secure, and capture those future profitable business streams. So, I'm not going to give you a 2018 view. I would tell you that it will not be at a 10% growth. We're going to be able to show you in another 10 days different elements of what stands behind the growth across each of the businesses and in total as we make the journey towards 2020.
Adam Tindle - Raymond James & Associates, Inc.: Okay. That's helpful. Thank you.
Operator: The next question is from Mark Delaney from Goldman Sachs.
Mark Delaney - Goldman Sachs & Co.: Yes. Good afternoon. Thanks very much for taking the questions. So, the first question is a follow-up question around the elevated expenses. Should we think about the magnitude of the incremental expenses being larger in the September quarter as maybe the size of some of these pull-in programs starts to increase in scale? And then maybe you can just – I just want to be a bit more clear on how exactly those expenses go away as you move through the year. It sounds like maybe the revenue just comes in to get leverage on those expenses, or is – that's probably the primary reason that the impact goes away later this calendar year? Or are there some one-off, either SG&A or product development type expenses, that are truly – they just go away on an absolute basis as you move through the year?
Christopher E. Collier - Flex Ltd.: Certainly, Mark. Let me try to – I think I got everything that you just asked. So, yeah, if I was to think about as you move forward, you should see a September quarter that'd be very similar in terms of that level of investment. There's nothing that's going to be accelerating. I think it's going to be very similar. And what you have when I describe the investments we're taking right now in terms of the design engineering, the expansion of innovation centers and that installed capacity, capability and competency, that's essentially coming in fixed. So as you think about those being put in place, you see a back half of the year that's much stronger in terms of the revenue and the volumes, and you're going to see that leverage play through. So you're going to see a leverage model that starts helping to drive the margin and profit dollars improving as you go through the year. And then, specifically, if you tie back to the Nike discussion that we've been having, Nike is going to be one in which we also start having greater revenues, greater execution. And so, as that changes in the back end of the year and we start moving out to come out of the back end of that year with profitability on that, that's also going to provide further leverage, further earnings upside, if you will. So, I think the way you describe it is exactly how we envision it. We're going to spend a little more time with you and others in another 10 days to get deeper on some of those attributes, but these are conscious decisions where we sit today to invest into the business with a long-term focus around discrete areas that are going to be revenue generative and truly operational profit generative.
Mark Delaney - Goldman Sachs & Co.: Yeah. That's helpful, Chris. Just a quick follow-up on that point and then I just have a second question. The quick follow-up is just the return on invested capital I think running around 20% for the company. These incremental investments that you're making, are they consistent with that sort of return profile going forward? And then my other question was on the high reliability business seeing nice year-over-year growth. Obviously, that's where your auto business is. A few semi companies have talked about seeing some deceleration in auto and I think North America is seeing some slowdown in SAAR. I understand Flex has been gaining content and expanding internationally, but is there anything you're factoring into your guidance on the auto side to maybe account for any unit SAAR type of slowdown if in fact that is occurring? Thank you.
Christopher E. Collier - Flex Ltd.: Certainly, Mark. Yeah, and thank you for the first point on the investment level, because someone asked that earlier, and it is two parts. I've been talking a lot about the investment we're doing in terms of the P&L. There's also CapEx. As we think about CapEx for this coming year, it's going to be very similar to what we just printed this past year and before. I think there's nothing more elevated in terms of that capital investment being required by the company as we continue to invest in the platform and continue to invest in capability and capacity around the growing areas of the business. So that would be in check. What you do see is with a slightly lower profitability, you'll put a little pressure on the return profile, which puts a little pressure on the ROIC. I think you'll see us relatively consistent around the ROIC. It will have a little pressure at the front end, but it should be coming back up and sustain itself well in the range around the 20% and well above our weighted average cost of capital. So as I try to answer your second question, and that was related to how we think about auto, we couldn't be more pleased with the position we have inside of auto. And I think we've talked before with regards to what we've been seeing. These SAAR is something that we're very aware of and the production associated with those volumes. But for our offering, it's been more around the complete expansion of the services and capabilities that we have. Our auto content continues to grow very healthily. If you look back, you had 2008 where we were roughly around $25 per content in a car, this year we're coming out roughly around $118 of content in a car. So some real solid, double-digit growth, and we're seeing that go forward. You heard our announcement about AGM. AGM, we're super-excited about that strategic acquisition. It again provides us more capability inside of interior lighting and overhead consoles, and it just is another tool in which we can take what is a truly global platform that we're operating today with great meaningful partnerships and over 300 global platforms and continue to increase that. So we're getting growth in many different ways. Our guidance reflects not just some benefit from AGM, but also continue growth inside of auto that was very strong this past year. So, I think that's kind of – I'm trying to give you as much color as I can as to how I thought through that.
Michael M. McNamara - Flex Ltd.: Yeah. And pretty much, Mark...
Mark Delaney - Goldman Sachs & Co.: Thank you.
Michael M. McNamara - Flex Ltd.: ...year-after-year, we've beat our growth rate as we overachieved the SAAR levels. And while we'd like to have them be higher, they're not a requirement in order for us to hit the growth targets, unless they fall off like meaningfully. But so far they're pretty flat. The expectation is for them to be pretty flat. And we run reasonably independently, because we've been achieving double-digit growth rates for many, many years now. And as we look forward and we look at our book of business, we actually think going forward we will continue to have some double-digit growth near term.
Mark Delaney - Goldman Sachs & Co.: Thank you.
Michael M. McNamara - Flex Ltd.: Welcome.
Operator: The next question is from Jim Suva from Citi.
Jim Suva - Citigroup Global Markets, Inc.: Thanks very much. A quick clarification question, then I'll ask my main question. First, the clarification question. Does your guidance include the AGM Automotive acquisition? And if so, how should we think about that as far as magnitude? Just trying to figure out organic versus inorganic growth. And then my main question is on the CEC guidance, many of us on this call also cover many of those customers, and none of them are seeing such a big decline year-over-year. So, can you help us understand, are you transitioning off some programs or are some programs winding down? Are you walking away from some business? Could you lose some, because that CEC decline is quite material year-over-year? Thank you.
Christopher E. Collier - Flex Ltd.: Thank you, Jim. Let me just start with the AGM. So the AGM is included in our current guidance. And it is a component – and I believe I answered this earlier, it is a component of the growth inside of HRS that we've identified for this next period, which is up 5% to 10% year-over-year. We're also seeing growth inside of our core automotive offering, and some modest growth inside of HRS. So it is part and parcel to the entire guidance framework there. I think we talked about AGM in our announcement when we talked about closing that. And what you still need to think about AGM for us is it's going to be accretive to earnings this year. It's going to be accretive to cash flow this year. Obviously, it's not a material transaction. It's a nice strategic transaction that is providing us some real complementary lighting and overhead console business. It's allowing us to really capture some more market share. It really does a nice job of balancing out North America and our Europe lighting offering. It accelerates some positions with some really strategic OEMs. It also just was announced that in 2016 it won the GM Innovation Award. So, there's all these other features that get us excited about what AGM does to the portfolio. But how you should think about it, it's completely inclusive. I would say that it's a big component of the HRS guide, but we're also growing inside of the core automotive and medical.
Michael M. McNamara - Flex Ltd.: Yeah. And just to address your CEC question, Jim, I think the best way to look at it is on an annual basis our CEC business was down about 5%. I expect that's probably not too far off of your benchmarks of how hardware's trending in with the other – with the OEMs. More specifically, on the quarter, the quarter's actually flat sequentially if you look at it on a sequential basis. And on the quarterly basis on the Q1 FY 2018, the Q1 2017 is a pretty tough comp. But I think the important part to think about as well on this is there's just more and more commoditization in the space, and as there moves to be more and more commoditization and revenue is hard to come, there's a lot of capacity out there and there's a lot of companies that have capacity that can build products like this. And what that does is it push margins down. And as you push margins down this space, it comes with inventory turns that run probably closer in the floor range. So, you actually – as the margins come down and returns are pressured as a result of plenty of capacity and movement to more and more commoditization structurally, it's going to be more and more challenging for us to invest in those kind of programs as opposed to focusing our investments where we have like a lot of different opportunities. And I think a lot – so a lot of that is just structural and I think you'll probably see more of it over time. The one thing that's unique to that is the CIC – or the CI3, where we continue to invest in, which is our cloud initiative. We continue to have double-digit growth and we expect a pretty strong growth rates over this next year. So, we're trying to reestablish our system to be very, very focused on where the OEMs need the future to be as opposed to chasing kind of a lower margin commoditized play with kind of rough inventory turns of kind of the past. So anyways, I think there's a lot of different pieces of that that you have to consider, but this is how we think about the business structurally going forward.
Jim Suva - Citigroup Global Markets, Inc.: Thank you for the details.
Michael M. McNamara - Flex Ltd.: You're welcome.
Operator: Your next question is from Ruplu Bhattacharya from Bank of America Merrill Lynch.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Hi. Thank you for taking my questions. Mike, can you just talk a little bit more about the IEI segment? Margins were back in the 4% to 6% range and I guess revenues were up mid-single digits for the year. You talked about some program wins. So how should we think about revenues? Can they accelerate in fiscal 2018 and can you get to the midpoint of the 4% to 6% range exiting the year?
Michael M. McNamara - Flex Ltd.: Yeah. So, the first thing I'd say is I'd wait for more color on that as we get into the Analyst Day. But if you step back and just think about the IEI performance, it has continuous margin improvement. In FY 2015 for the year, we did 3% operating profit. In FY 2016, we did 3.4%. In FY 2017, we just finished with 3.6%, and that was like pretty tough with SunEdison being such a substantial portion of that, we lost all that margin contribution there. Closed the year at 4.1%, so we're obviously moving in a very, very positive direction. If you couple that with the fact that we're having, over the last few quarters, just record bookings, and if you'll note I mentioned in the prepared remarks that we actually believe these bookings will set us up to hit the long-term growth rates in IEI which, as you know, are 10%. So I think we continue to make very nice progress, and we're very, very bullish about the future and even immediately in FY 2018. But I would just ask you to wait for a little bit more detail as we'll be together again in 10 days and we'll be outlining our more long-term vision for this segment then.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Okay. Thank you for that. And just as a follow-up. You talked about CTG being a little bit better. This quarter it came in down 17% versus your guidance of down 20% to 30%. So just wondering, was there any particular area of strength? And also in that segment, did you, Mike, say that you need another quarter or maybe quarter and a half of investments in Bose? I would have thought Bose would be profitable by now, but maybe there's more investments there. So if you can just clarify that.
Michael M. McNamara - Flex Ltd.: Yeah. No, I think when you think about Bose – so CTG is kind of a mix of business. There's some seasonal implications and I think we're going to see a lot less seasonality going forward based on the mix they have. On the Bose business, they're definitely profitable. It's just that we've not optimized the profitability yet because the integration of the computer systems and the optimization of the factory with Flex systems as such is really not yet complete. So it usually takes anywhere from two to four quarters to really ultimately achieve a full what I would almost call synergy associated with the Flex systems. So that would be one of the structural elements. When we talk about the investments in the next couple of quarters that are pressuring our operating margins that will be one of those investments that will go away by the time we get to the third quarter. And so, in time that will work its way out pretty positively. But we're already – it's already positively contributing. It's just not at the margin targets yet that we'd like to see.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Okay. Great. Thanks for the color.
Christopher E. Collier - Flex Ltd.: And I would just expand just a little bit on that just to say in the current quarter, we did have some benefits from some legacy programs that went end of life. So, that was a contributor favorably. But again, think about CTG, we're on a path to enabling commercialization of products in new industries, it's about a richer mix. So it's not always going to be about the revenue growth here. And the Bose comments that Mike just shared with you are not a departure at all. I mean, we've been talking a lot about Bose not being accretive to our margins in the first several quarters. So, we're very pleased with how we're moving along with that foundational element of our future and you're going to continue to see a growth profile inside of CTG.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Okay. Great. Thank you.
Christopher E. Collier - Flex Ltd.: You're welcome.
Operator: The next question is from Steven Fox from Cross Research.
Steven Fox - Cross Research LLC: Thanks very much. Just two quick ones for me. First, I believe last year you had a concentration of capital spending around two served markets and I was just curious can you give us a sense for the focus on CapEx this year or maybe a rough level of it. And then secondly, like you mentioned the medical business has been a little bit depressed. So, I was curious if you have a sense for when that might turn and start seeing growth again? Thanks.
Christopher E. Collier - Flex Ltd.: So with regards to the capital, I had highlighted earlier that we're going to be able to provide a better detail here in another 10 days at the Investor Day as regarding our capital allocation and capital investment as we move forward through 2020. But as I alluded to earlier, you should be anticipating 2018 to be on a very similar level of investment as this past year. As you highlighted, we've been making some concentrated capacity and capability investments in some of our growth areas. HRS has been one of those areas for us. And as I think about what we've done, we've put nearly $350 million into CapEx over the last several years into that business to support its expansion, to support its capability. So, you're going to see a very similar dispersion of our capital investment this coming year and in another 10 days I'll be able to give you a little bit better insight into some of those both in 2018 and beyond.
Michael M. McNamara - Flex Ltd.: Yeah. And on the medical business, we're planning on doing a pretty good deep dive with you on the strategy for medical over the – and what our expectations are for the coming years. The medical hardware business itself actually does not have much of a growth rate. If you start to separate out all the acquisitions and the effects of those acquisitions, it's actually pretty flat. And if you – also believe it or not, the acquisitions themselves, which we tend to see a lot of them, have actually called out some of the programs they've already awarded. As our customers went, focused on the integration as opposed to focused on the optimization, which is where a company like Flex comes in. So, it slows things down a little bit and we're experiencing that. At the same time, we've done some pretty significant investments in digital health where we brought on a whole new division that is focused specifically on trying to drive digital health and leveraging some of the technologies we have much more broadly than just the medical piece, but also into the connected home and the wearables. And we're going to give you a number of different – we'll give you some updates on that as we go forward and we'll talk about some of the expansion of the new markets that we're having in medical.
Steven Fox - Cross Research LLC: Great. Thank you very much.
Kevin Kessel - Flex Ltd.: Operator, we're coming up to the top of the hour here, and I know there are a lot of earnings so we have time for one final question at this time.
Operator: The last question is from Matt Sheerin from Stifel.
Matthew Sheerin - Stifel, Nicolaus & Co., Inc.: Yes. Thanks for squeezing me in. So, a couple of questions. On the CEC business, understand the areas of weakness, but you did talk about, Mike, opportunities in the cloud infrastructure and cloud computing area. How big is that business now for you? And how is the opportunity in terms of it moving the needle, offsetting the weakness in some of the areas that you talked about?
Michael M. McNamara - Flex Ltd.: Yeah. So, right now, it's over $1 billion. We've got probably 18 new logos in it. You've probably seen some of our participation in the Open Compute platform and a number of different industries where we've moved into even almost a leadership position in terms of thinking how some of the changes should unfold. So we'll see it grow. It's probably not big enough yet to offset any kind of structural declines in the more commoditized part of the business. But we're super-excited about it. And if I think about the future, it's not just in terms of what CI3 can do, but it's really important to think about the advent and when 5G comes along, and then the telco cloud, which is still a couple years out. But we're actually positioning some of our investments pretty heavily to take advantage of 5G and telco cloud and be in a leadership position in those places. So, it's not big enough to offset the structural declines and some of the possibilities for like 5G and telco cloud are out a couple of years. So, we're going to have investments over the next couple of years, I think, that are not necessarily going to offset the decline. But that's what we're trying to do and we'll see how it goes.
Matthew Sheerin - Stifel, Nicolaus & Co., Inc.: Okay. And then just lastly, we've heard from several of your competitors and customers about memory shortages, SSD shortages impacting revenue opportunities. We're seeing inventory build at some competitors and even seeing lead-times strength – lengthen on other components. Are you seeing that at all? Your inventories look pretty clean, just trying to figure out what you're seeing in that area.
Michael M. McNamara - Flex Ltd.: Yes. So we are seeing it. We are seeing lead times push out. A lot of it we've anticipated. We're having some impacts to revenue, but it's not material at this point. And we do know a lot of customers are giving us a really, really – are starting to build up inventory, and hopefully they won't create a shortage as a result of people hoarding inventory. But we are actually in pretty good balance and able to get most of the inventory, and not seeing any real impact to our revenue at this point. And the one thing I would add is we've done a tremendous amount of investment in our real-time systems about how we're able to look at the inventory and look at the visibility in the supply chain. We've done a lot of investments in something that we call Pulse, which is our own internal system to really get real-time visibility of inventory across the supply chain. We've been doing implementations like Elementum, which is obviously a leader in SaaS based visibility in the supply chain, where we're using them to help us manage our inventory and our visibility, and we've driven a lot of systems to be real time with our people. So, I think those kind of changes have made a huge impact on our visibility into the supply chain and our ability to manage inventory. And you actually see another impact of that where you actually see our work in process has actually come down quite a bit, and we've got some of the best inventory turns we've had in a while. So, we actually feel it, we see it. We don't feel it too bad, because I think we are a bit ahead of it. But again, without question, lead times are pushing out on a number of different products.
Matthew Sheerin - Stifel, Nicolaus & Co., Inc.: Okay. Thanks a lot.
Michael M. McNamara - Flex Ltd.: Let's close. I want to thank everybody for attending the call. Our Sketch-to-Scale strategy continues to show a lot of promise. There is plenty of evidence to support our sustained business evolution. This quarter, once again, was our 14th straight quarter of year-over-year adjusted operating margin growth. Our free cash flow for fiscal 2017 was exceptionally strong. It's sustainable, and it forms a basis for our consistent capital return program to shareholders. We remain structurally and strategically positioned to deliver meaningful earnings and margin expansions as we've articulated and focused on our 2020 model that we're going to discuss in more detail at our May 10 Investor and Analyst Day. So with that, I will conclude today's call. Thank you.
Operator: This concludes today's conference call. You may now disconnect.